Operator: Good morning, ladies and gentlemen. Welcome to Vale’s Conference Call to discuss the Third Quarter 2014 Results. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will be given at that time. (Operator Instructions). As a reminder, this conference is being recorded and the recording will be available on the Company’s Web site at vale.com, at Investors link. The replay of this conference call will be available by phone until November 05, 2014 on, 5511-3193-1012, access code 5668345#. This conference call and the slide presentation are being transmitted via internet as well also through the Company’s website. Before proceeding, let me mention that forward-looking statements are being made under the Safe Harbor of the Securities Litigation Reform Act of 1996. Actual performance could differ materially from that anticipated in any forward-looking comments as a result of macroeconomic conditions, market risks and other factors. With us today are Mr. Murilo Ferreira, Chief Executive Officer, CEO; Mr. Luciano Siani, Executive Officer of Finance and Investor Relations, CFO; Mr. José Carlos Martins, Executive Officer of Ferrous and Strategy; Mr. Roger Downey, Executive Officer of Fertilizers and Operations and Marketing; Mr. Galib Chaim, Executive Officer of Capital Projects Implementation; Mr. Umberto Freda, Executive Officer of Logistics and Mineral Research; Mr. Peter Poppinga, Executive Officer of Base Metals and Information Technology; and Mr. Carl DeLuca General Counsel and Chief Compliance Officer. First, Mr. Murilo Ferreira will proceed to the presentation and after that, we will open for questions and answers. It is now my pleasure to turn the call over to Mr. Murilo Ferreira. Sir, you may now begin.
Murilo Ferreira: Ladies and gentlemen, welcome to our webcast and conference call. Thank you all for joining us to discuss our results. First of all, I’m pleased to report that Vale delivered a strong operational performance in the third quarter with record output iron ore, copper and excellent production of nickel. Once again, we achieved saving costs and expenses of over $500 million compared with the first nine months of last year. This quarter we posted EBITDA of $2 billion, reflecting lower iron ore price. We saw a drop in the net income of about $2.9 billion in the quarter mainly driven by a non-cash impact of the depreciation of the Brazilian real against U.S. dollar. Capital expenditure came at $3.2 billion in the quarter, an $8.2 billion in the first nine months of the year, which is $2.2 billion lower than the capital expenditure in the first nine months of 2013. Overall, our balance sheet continues to be healthy with low leverage, high coverage, low debt maturity and also low cost of debt. Net debt decreased by almost $2.2 billion since the end of June this year. Total iron ore production, reached a record, sales volume remaining stable and our flagship ferrous minerals, suffered most from the reduction in sales prices which dropped to the overall EBITDA decrease of $1.1 billion versus the second quarter of the year. Inventory increased in the quarter, mainly to the blockage in the Carajas railway and to the commercial strategy. There was also an increase in cash cost to $24.07 per ton mainly to some recurrent impact, no recurrent impacts of high-end maintenance and logistic costs in preparation for an increase in production volumes in the coming quarters and for the processing during the quarter of the outstanding invoices related to the introduction of the new system. Iron ore cash cost will decrease even further with the production increase, diluted fixed cost and our internal cost reduction initiatives, and depreciate Brazilian real versus the dollar, you also contribute the reduction of our cash cost. Now for base metals, I’m pleased to inform that base metals business was yet again success story with another excellent contribution to our results due to the increased nickel production and a record copper output. Base metals EBITDA increased almost by 30% to $781 million in the third quarter 2013 versus second quarter 2013. Looking forward, the ramp up of the ongoing projects reinforces our confidence that the base metals segment is set to achieve its EBITDA target of $4 billion to $6 billion. Now to look at coal and fertilizers.
Operator: Ladies and gentlemen, please hold. Vale’s audio conference will resume shortly. Thank you. Thank you. Mr. Murilo, you may proceed.
Murilo Ferreira: Thank you very much. We apologize. Now to look at coal and fertilizers. With coal, we continue to focus on reducing cost, increase profitability and developing milestone projects to secure our shareholder value in the future. We continue our investment at Moatize and Nacala, with big fiscal progress. Moatize II achieved 70% and Nacala is close to 74% fiscal progress. With the fertilizer business we continue to make progress with adjusted EBITDA increasing by almost $100 million in the quarter, while production of phosphate rock reached $2.2 million, a record for a third quarter. We continue to discuss partnership opportunities with a view to maximizing our strategy in the business. As we head towards the end of 2014, we recognize our many achievements. Cost and expense had been reduced over the last two years, production volumes had been increased across all business segments with the completion in ramp up of projects, and particularly the base metals segment has started to bear the fruit of all of our restructuring and investment efforts. We pay attention in the challenges that face us, including global change in the supply and demand for iron ore, and knowledge that the investment commitment ahead of us in 2015. We remain focused on our cash flow generation and our quarter exploring divestment opportunities and reinforcing CapEx and cost cutting initiative to support our free cash flow. Now, our team will be happy your questions. Thank you very much.
Operator: Our first question comes from Rodolfo Angele with JPMorgan.
Rodolfo Angele – JPMorgan: Hi. I think the bulk of the questions I had specifically to the earnings were answered in the other call. So, I just wanted to ask, first, a question on looking forward in terms of potential divestitures. Outside of the assets in the coal side, is there an opportunity that you can discuss at this point, to help on the free cash flow story? So, that’s the first question. And my second question is a very simple one, but it’s a question that I was asked a lot yesterday, but there’s only one person that I can ask, which is Murilo. The press has been reporting that you were considered for the government. So, if you could enlighten us on what’s your position there? Thanks.
Murilo Ferreira: Thank you very much, Rodolfo. In fact, I didn’t receive any invitation or even being consulted to be a minister in the new government. I’m very focused into working the market we know that now you are facing big changes in the mining industry and we being the oil industry as well. And I’m very focused myself and the whole team in Vale to bring good future, a gorgeous future for our company. And we are extremely devoted to deliver our projects on time and below budget and to increase efficiency of the company. Regarding divestment, I think that we have an opportunity in bauxite. We’re having a stake MRN. And I believe that you’ll be able now back to the bauxite of market is much better. The ore being, in Indonesia is working very well. And I think that we have an opportunity to look for a divestment in MRN. Thank you very much for your question.
Operator: Our next question comes from Mr. Carlos de Alba with Morgan Stanley.
Carlos de Alba – Morgan Stanley: Thank you very much, gentlemen, good morning. Just a couple of questions. The first one has to do with dividends and net debt. Clearly, your free cash flow is going to be tight, given what is happening to commodity prices, particularly iron ore. So, Murilo, when the management of the Company presents to the Board of Directors its recommendation for dividends, how do you balance cutting dividends, potentially, or raising net debt in the future? If you can tell us how you approach as CEO, this challenge that would be useful. And the second question has to do with the sharp increase that we saw in maintenance costs quarter-on-quarter. Excluding the effects of volumes and FX, they increased about $330 million. You mention in the press release that that was related to iron ore and pellets primarily, as well as base metals. How do you see this line, going forward? I suspect that it’s going to decline, but if you can give us an estimate of how much do you think this number will decline, that would be also useful for modeling purposes? Thank you.
Murilo Ferreira: Thank you very much for your question Alba. What I can say is that you continue with our policy to be extremely prudent in the leverage of the company. We have now just few projects, as far as I know six projects should be finalized which is a great achievement for us. In the beginning it was more than 100. And then we are very focused in delivering mainly S11D, it’s a bright project I think that’s just the last one for next year. And Moatize I think that can be a big surprise for most of the investors. I believe that the amount of money that we would bring is extremely relevant for us considering mainly 2015 and 2016, right after the implementation of S11D we believe that we have lost options. And the question would be about investment in world-class project. Up to there, mainly with 2015, 2016, I think that in the first decision is regarding the amount of money that we would ship regarding the Moatize project and the Nacala corridor. Then, we have options. We have many options that could be considered in the near future in case of if you need. I wanted to continue a company with high yield dividend. I think that its very interest for us, can bring a good motivation to our shareholders. I think that as we have to announce this transaction, I prefer to finalize my answers and validate New York and London in the beginning of December. Thank you very much. And Luciano, go ahead.
Luciano Siani: Carlos, I believe you were referring to the comparison between the third quarter of ‘14, in the third quarter of ‘13, because if you compare to the previous quarter to the second quarter, there is an increase in maintenance cost was much smaller. And it was mainly explained by the preparation that we mentioned some trucks were increasing production in iron ore. If you look third quarter ‘14 against third quarter of ‘13, there are some effects that effected only the third quarter of ‘14, for instance we have Thompson right now in the plant maintenance that we didn’t have, and we didn’t have any nickel plants in planned shutdowns in third quarter of ‘13. As we mentioned, we’ve been marketing in higher maintenance cost to improve the asset integrity in fertilizers, this is something that we have emphasized this year. So, we believe that a better way to look at maintenance cost is to consider in the second quarter on this year figures as ago should be. And we compare this to one year ago, I gave you some color about why these are higher. And looking forward, I would say, the numbers on the second quarter are more representative. Thank you very much.
Operator: Our next question comes from Leonardo Correa with BTG Pactual.
Leonardo Correa – BTG Pactual: Hi, good morning and good afternoon everyone. Thank you. My first question is regarding iron ore growth and S11D. Just wanted to understand with you if there’s any iron ore pricing level that would potentially slow up the ramp-up of the project? I’m just asking because the project is coming on stream by the end of 2016 and 2017, and by then, I mean, supply-demand models would potentially forecast a bigger surplus in the market, so, just wanted to see if there’s any iron ore pricing level that would potentially reduce a bit the pace of expansions, even though I acknowledge that this is a very competitive and very low-cost project which makes sense basically in any environment? So, that’s my first question. And the second question is regarding the strategy with your non-ferrous division. Just wanted to get some additional color on a potential spin-off? What are the options for your non-ferrous division? And moving into a smaller aspect of it, VNC Goro, how comfortable are you with the sustainability of this asset? And is there any time frame, really, to consider a sale or a potential shutdown of this asset? I mean, we saw the numbers in the quarter coming in still negative; negative EBITDA of around $100 million. Those are the two questions. Thank you.
Murilo Ferreira: Martins.
José Carlos Martins: Okay. I think as far as S11D is concerned, I think the lower the price, more company is to bring in this project in operation, because it is low cost and high quality. So, there is no way that they’re going to reduce the pace of investment S11D. We believe that it is low cost and high quality and could substitute other production outside Vale or even inside Vale that have higher cost and lower quality. So, to be frank, I would not see any shift of this lowering project at any price of iron ore.
Murilo Ferreira: Regarding on sales, I would like to sure explain more deeply some options that could be considering building the value demand. What we have in mind that we have plenty of opportunities, now of them we have the integrity of the assets in subway and Thompson in a very advanced way, we have the long-harbor working to have the thought in mining in better well. And many opportunities regarding the base metal that we intend to present in the Vale base. Regarding Goro, please Peter Poppinga, could you explain what’s happening with our project in New Caledonia?
Peter Poppinga: Of course. So regarding our VMC operation, it’s an ongoing story as a whole. We have the certainty now that the process works and it’s proven the technology is working. We need to increase to improve availability of the operations and constant operations and of course improve the stakeholder relations where we have some problems we know that we have problems. In March ‘14, this year, we have reached 60% of full capacity of the plant. Then came the assets still by the way there was just to remind everybody there was no ocean damage, it was all in a small creek. But it triggered a social unrest and it’s because of the social problems in second quarter in New Caledonia that didn’t go well beyond VNC events. That interrupted everything and in Q3, it ramped up again, we saw that we produced around 4,000 tons. If you take September only, we produced almost 2.5 kilotons which multiplied, gives you around 50%, capacity so we are back on track today surpassing again the 50% capacity hurdle. And we are now currently with two auto-plays constantly for the last quarter of the year, aligning to make a step change well beyond before. And before we go into be around further capacity. And that stream is going up slowly interrupted by the social unrest. We do use 15,000 in 2013 that was last year, this year it would be well over 20,000 in spite of the three months we shut down and next year it will be around – well above 30,000. And this will lead us to a cash breakeven situation at VNC. And then we’ll decide along the year how we are going to pursue this asset in the future.
Leonardo Correa – BTG Pactual: Thank you.
Operator: Our next question comes from Alex Hacking with Citi.
Alex Hacking – Citi: Good morning. Thank you for the conference call and the question. The first question, I guess, is for Roger, if it’s okay? Could you remind us of the sales that you expect from Moatize in 2015 and 2016 and what kind of EBITDA per ton you think you could achieve at the current coal prices? And then, second question will be iron ore. Murilo, you mentioned that the build in inventory was partly a commercial strategy. Maybe you could describe your thought process behind, I guess, not selling some material and if you have any concerns that putting this material into the market in the fourth quarter could negatively impact the price? Thank you.
Roger Downey: Kicking off with coal and you asked on our operations in Moatize and how competitive they are eventually. Obviously we have to look at Moatize then it’s a steady state operation when we’re fully ramped up. According to our schedule we should reach a 22 million ton run rate on the railway by the end of 2016. That’s been moving to really fully dilutes all of our costs. And both the mine and railway will be fully ramped up to that sort of scale. At that level, at that stage with a tariff of somewhere in the order of $20 to $25 on the railway, we should be comfortably in the first quarter of – first quarter out of the cost curve. So even the current coal prices maintained at these levels through the next couple of years or even into the end of the decade, Moatize will certainly be one of the lowest cost coal producers in the world.
Murilo Ferreira: And Martins, regarding the development of the inventory?
José Carlos Martins: I don’t believe you’ll be, you have any want some impact because you’re talking about a market that will buy around 300 million tons of iron ore in the last quarter. So, 9 million tons is not a big volume that could influence the price. So in my view the impact if any, it would be minimal. Given because the second preview, yes, that has gone yes. It was decided in the first week of October.
Operator: Our next question comes from Amos Fletcher with Barclays.
Amos Fletcher – Barclays: Good morning gentlemen. Thanks for the question; I had a couple to ask. Firstly, on iron ores, I just wanted to clarify whether Vale will potentially respond to the current low iron ore price environment by taking any tonnages offline? For example, you’ve got your ROM tons which are getting quite low realized prices. The mid-western operations are quite high cost as well. So, I just wanted to ask what sort of volumes could we be talking about here and what sort of price levels could you potentially be induced to take some capacity offline? That’s my only question. Thanks.
José Carlos Martins: For the time being, we don’t have any tonnage but we could take off the mark without reducing our cash generation. We have some movement in the Colomby (ph) area which we have some difficulties with them. But we are managing to get breakeven on these volumes. So we do not intend for the time being to reduce any volumes from our sales. We keep monitoring all our buying of products to see if we have problem with any of them. But for the time being there is no reasons for taking volumes off of the market.
Luciano Siani: Martins, if you allow me just to compliment the run-off mining which was mentioned, actually show the lower price because we don’t incur any of the processing cost which are down by some (inaudible) and then we fully capture the additional margins as a shareholder of these volumes.
Operator: Our next question comes from Thiago Lofiego with Merrill Lynch.
Thiago Lofiego – Merrill Lynch: Thank you, I have two questions. First one, if you could give us an update on the tax dispute in Brazil? So, what are the next steps we should watch and what’s the likelihood you attribute to the reversal of the payments already done? And the second question is on your freight strategy. If you could give us some color on how many more ships do you have in your fleet and that could be subject to the future lease agreements? And what’s the timing for that to happen? Thanks.
Murilo Ferreira: Galib, comments please.
Galib Chaim: Hi Thiago, thanks for your question. We have as expected an appeal from the tax authorities to the Supreme Court. This was filed about a month ago. The snow we apply our acceptance at from the Supreme Court. We still believe that we’re not dealing with constitutional matters. And therefore the appeal should be refused. And as such, we would have a final decision from the superior court, that’s right under the Supreme Court. So that’s what we have at the moment. Once we have that final decision or that means that when the Supreme Court receives to hear the appeal, we would then start talks with the Minister of Finance to see how we would go forward and recover amounts already paid and would make a decision on stopping future payments.
Murilo Ferreira: Martins, please speak.
José Carlos Martins: As far as the ship is concerned, we have now 35 ships under operation. And we are negotiating in order to sell some of them, some of them to some ship owners in China they have two agreements already in place. And we are – our idea is moving step-by-step on this regard. And also start ordering more ships because considering the volume with we are running in the next three years, we need another more ships to move it to China.
Murilo Ferreira: But today, in fact to have Martins first one in place, an item which is our on-fleet. And we tell as Martins is to increase our fleet. Saw an agreement with third parties in terms of the ownership of the ships, and for sure having a long-term contract with us. Thank you very much.
Operator: Our next question comes from (inaudible) with Deutsche Bank.
Unidentified Analyst: Good morning gentlemen. And Murilo, it sounds from your clarification earlier on that we’re stuck with you a little bit longer. The just two questions really, one in terms of the Leonardo’s point earlier on about the displacement of tonnage as a result of S11D. Martins, I presume you’re referring to potentially displacing volume in the south and southeast system in terms of the volumes that may need CapEx in terms of upgrading the processing capacities there. And then, the second question is on Salobo, just in terms of the ramp-up profile there, could you give us some color about how that looks going into 2015, 2016? Thank you.
Murilo Ferreira: Martins and then Peter Poppinga about Salobo.
José Carlos Martins: As far as the splits from quantity, our reduced to the splits, competitor quantities okay. So, it’s not our idea to displace our quantities. But that will depend on price. The very fact is that on average our cost is very well competitive in the market. So, we believe that many other competitors need to exit the market before we need to reduce production in Southeast or southern system, that’s our appraisal in this moment.
Murilo Ferreira: Peter.
Peter Poppinga: Okay. So, in terms of Salobo ramp-up, it’s actually made it through well. As you know we have two lines, one, the first line is around maybe over 80% of capacity already. And the second line came in mid of this year, and it’s ramping up well and now we have – we can say one third of the capacity. And if we look into 2015, I would expect that both lines would be on full capacity by the end of ‘15. And so, just reminding you again, this will be a very big boost to our business. If you’ve taken volumes around the couple of projects 7,000 indexed, has to buy a products of little more than 2,000, gives you strictly 5,000 margin times, 200,000 tons, gives you the 1 billion. So, all we have now stated flows and we are very happy.
Murilo Ferreira: Thank you very much for your comments regarding stating value. I really appreciate it and it’s a motivation for us to continue working to work hard, others should bring prudent results. And new projects on time and under budget. Thank you very much for your comments.
Operator: Our next question comes from Andreas Bokkenheuser with UBS.
Andreas Bokkenheuser – UBS: Yes, good morning gentlemen. And thank you very much for hosting the call. Just a quick question from me, it’s really more of a clarification. Obviously, there’s a bit of excitement in regards to the potential asset sales of the Mozambique coal assets, some of the Vale assets, and so on. Going back in time, I seem to recall all of these assets were part of Vale’s core business. And effectively, by selling them, even though it does raise cash up front and it does reduce your CapEx, it also removes future cash flows from your discounted cash flow valuation, at least in the eyes of an analyst, and that effectively tends to reduce your valuation as well, depending on the price you’re selling at, of course. So, I’m just trying to understand. Can you give me a little bit more clarity about why investors and shareholders should get excited about asset sales at this point?
Murilo Ferreira: Roger Downey will explain you our strategy regarding some assets in Mozambique.
Roger Downey: Yes, thanks really for the question, very good lead. These strategies are unchanged and we are still seeing our sales as a very promising and profitable coal supply in the future. Mozambique is very promising place to be in terms of cope. And the Mercy’s project remained the core assets. The transaction that we announced last year at the Vale Day in New York basically entails a sell-down of a shared control of stake in the railway. And that’s what is centered around. Associated with that we might sell as Murilo mentioned earlier and we did publicly disclose last year a target of about 50% to 25% in the mine. I’ll remind you, we make money at the money, right. We don’t really make the money on the railway. The railway, we look at it as basically if we can get the tariff as close to cost as possible that’s where it should be. So, the concept and trying to answer your question as best as I can, is to retain as much as we can of what we really are good at and where we do make money, which is a coal-mine. And still keep the railway servicing and having an integrated operation but using that to sell-down two or three capital right now. And obviously that also brings us an opportunity as you know, the terms of concession of the railway in Mozambique that it turns an open action railway. I think they’re not to just – the coal producers have been also out of partners. So, by bringing the partner, they can actually develop different businesses and bring in different partners through the business might even reduce our tax going forward. So, in the future this sounds like a transaction that is very closely connected with our strategy. Thanks.
Luciano Siani: Andreas, this is Luciano. We have a strategy and we want to increase the return on capital and return on equity for our shareholders. That’s why you should be excited about whenever we invest on ships, and you’re still part of our core strategy, the core strategy is not to own this ship, it’s right to make sure that they are available and at competitive rates we transport the ore from Brazil to Asia. But owning a ship is basically a business where you breakeven in your cost of capital, because it’s an offer that you hold. It doesn’t have upside in terms of returns. You basically, when you own them you take out the economic cost if you pass them to someone else which has a competitive economic cost, then you’re actually raising the return on capital that remain inside the company, because you’re pretty much breaking even on the ships. And by the way, the Chinese companies which we are dealing with, they have means of financing the ships at very, very competitive rates. So, therefore the cost of – the economic cost for us will be cheap as well. So, therefore we want to be concentrated on the assets in which we believe we can get a rate of return or above the cost of capital. And usually that’s more difficult in logistics assets. And for instance, if you take for example the VLI transaction, that was basically a similar idea. We did that because we understood that the value creation was better performance outside the balanced for Vale and within Vale. But on the core mining assets, the goal is to raise return on capital and return on equity.
Operator: Our next question comes from Tony Rizzuto with Cowen & Co.
Tony Rizzuto – Cowen & Co: Thank you very much. Hi everyone, I’ve got two questions. First, on Indonesia, you were able to secure pretty quickly an extension to your contract of work. Other international miners are still negotiating. And I’m curious what do you attribute your level of success to? Second, iron ore market. And I’m wondering your both BHP and Rio Tinto recently have provided their view of the Chinese production capability and the complexion of that supply. I’m wondering how you view the Chinese iron ore production and what level is being displaced and how much of that production may indeed be more, sticky to exit the market? Thank you.
Murilo Ferreira: Thank you very much Tony. First of all we have a stand margin two years of this negotiation because the negotiation was established in the Indonesia law, in 2009. And myself, I had the chance to view there are three times in order to discuss some key issues regarding this agreement. But Peter Poppinga briefly we can explain the full context of our agreement with Indonesia.
Peter Poppinga: Yes, okay, Murilo. Thank you Tony for the question. So, this is actually some very exciting news for us. And Vale is actually, I think it’s actually three years that we’re earning with. The timing now is just because of those mature deals. And we currently compare to the copper guidance, since we have a completely different situation, we are very happy now in the media where currently they have the – that’s a completely different card. So, we secured this amendment of the contest work with the mining law. And so, essentially we reduced the area from 119,000 to 118,000 hectors. By the hectors doesn’t mean reserves and that’s some people don’t understand that we have lots of land where there is absolutely no oil wells located or where we have other things like palm or wells by some form of sold. So this doesn’t mean enough. And the second step we have, after the year 2025, we have agreed to reduce further 118,000 through the 35,000 hectors required by the mining law. And that’s actually our ore of course and over 90% of the resources and reserves are in those 25 hectors. This time until 2025, we have to select those areas plus we will have some project areas where we can keep them where we used this for our mining operators. So, those reserves through we will have enough, more than enough, much more than enough than in order to do our Brownfield expansion plans we have for Indonesia. Then we agreed to increase the royalties which is 2%, depending on nickel price. And if the nickel price goes over 21,000 we agreed for 3% which is of course higher as of today. But it’s still reasonable if you compare to average in the world. We also did divestment within five years of another 20% to Indonesian participants and it’s done by inflation adjusted book value which is more or less the share value we have. So, PTVI in the future, after five years, will have 40% public float. And what do we get in return, I think it is very important to state we are now in compliance with the mining law and also with our contract undertakings, which we have renegotiated. And we have now enough for like I said, for our expansion plans which may go to 115,000 tons in the future relative expansion already, nothing reaches. And we also secured which is the most thing, we secured an extension of our contract work on for the year roughly 45,000. So, we produced pretty much that fit, if it was a long process, three years that we are very happy. And I think it was different process than the copper side for the reasons I explained.
Murilo Ferreira: And it’s brought us to say that to their agreement was reached with the old government. And we had a chance to discuss with the new government as well. Martins.
José Carlos Martins: Okay. As I explained you before, we believe that more than 50 million tons of ore produced outside China was already displaced within 50 million and 70 million. Considering the low growth of the market and the increasing capacity, we believe by year-end, we have 120 million tons will have to be displaced from the market. In China, it seems that you have some resilience but we believe that near 100 million tons of China production is at below water level. So it’s a quest of timing when that volume will be displaced. Another point is some of this resilience is because you have important parts of Chinese, item of production that does not go directly to smelter machines or to blast furnace. They go to palletizing plants. They are transformed into pellets and then compete with center field or large or pellets from outside. So, this is not displayed immediately because they’re both companies. In China that’s palletizing plants needing to find another source of pellet feeds before changing. So then you can see that these are in China inside China, is so better price than in Portugal, around $10 to $15 of both imports are. But that’s because of this palletizing capacity that we have in China, if you take much more time into displacing. So I believe that long-term China local production will be around 200 million against the 350 million that they have to be producing before this low price area started.
Tony Rizzuto – Cowen & Co: Thank you very much.
Operator: Our next question comes from Paul Massoud with Stifel.
Paul Massoud – Stifel: Good morning and thanks for taking my question. I just had a quick clarification. On the copper realized price during the quarter, a back-of-the-envelope calculation, especially after you remove the impact of provision pricing, it seemed like realized pricing there was a little bit lower than I would have expected based on where the market was. So, I was wondering if you could talk a little bit about some of the pricing dynamics that are happening there with copper and if there are any issues around quality? Thanks
José Carlos Martins: So, have to check that but we have copper realized price effective from down, part of it is because of the price adjustment in provision pricing from the last quarter. I would actually check deeper and deeper, I don’t know if any can help me but I think mostly it’s because of the volumes and some companies – it’s because of the adjustment of the provisional price from the previous quarter.
Murilo Ferreira: We can offer the coal update the webcast presentation include a slide on this matter, explaining this variance. Thank you very much.
Operator: Our next question comes from John Tumazos with John Tumazos Independent Research.
John Tumazos – John Tumazos Very Independent Research: Thank you for taking my call. With your various depot and blending locations overseas, ships on the water, port, ore in transportation, storage at mine sites, what is the maximum capacity in tons for your iron ore inventory? Hello.
Murilo Ferreira: Look. We believe that this extended enterprise because we have operations in Singapore and Malaysia. We have ships that we sent that we sell afterwards. On average, we have around 10 million ton this, this volume. And we believe we continue to have it in the future. But we tend to not to increase our total volume. The idea is to move the inventories that we have in our minds, in our ports in Brazil, nearby customers. So, we are only moving from one side to another to make it closer to the customer and to make it more liquid. So that’s the idea. So, but all of it, you can consider another 10 million tons of volume will be always in transit from Brazil to Asia.
Operator: Our next question comes from Marcelo Aguiar with Goldman Sachs.
Marcelo Aguiar – Goldman Sachs: Yes, thanks for taking my questions. So, getting back to the inventory situation of iron ore, Martins, just to be clear, of the 9 million tons you guys spoke about, 3 million you already have done. So, the other 6 million you expect to sell during the fourth quarter? And then, talking about the Pico Fabrica, the highway there, you have 20 million tons of ore. How long do you think this will be fully sold to the market? This is my first question.
Murilo Ferreira: The other capacities around the 10 million tons per year, okay. So hopefully speaking you take two years to really manage of those inventories and ships to subsidize the system.
José Carlos Martins: And about the 9 million tons, we have 3.5 million.
Murilo Ferreira: Yes, for the 9 million tons that we report as inventory increase, okay, 3 million tons were in the mines because of not transported because of the interruption of Carajas. Another 2 million toes was sales, that was already gone in China but the documents were not able to be considered as sale in the same quarter. And the remaining 2 million tons were mainly in Malaysia, okay. So, those are the figures that we had in the beginning of this quarter. And bigger part of it would be completely eliminated during the fourth quarter.
Operator: Our next question comes from Ivano Westin with Credit Suisse.
Ivano Westin – Credit Suisse: Hi, thanks for the questions. You have guided the market in your last New York Day total production based on your own production and acquisitions from general miners. The forward curve tells us a price at $76 for 2015, which is a certain level for some smaller producers. I’m just wondering if there is any threshold in terms of market price which would bring down your estimates of acquisitions from general miners. That’s the first question. And the second one, I’d appreciate if you could comment on your expectations of the timeline for voting and approval of the new mining code in Brazil? Thank you.
José Carlos Martins: As far as our volumes that we presented last year, in New York we continue to operate in direction to have these volumes going this year, we don’t have any change in our project, the same for next year. And as far as the ore that we buy from third parties, the price mechanism we have with them is a price lag, which is coming from the price of the market and then we bring it down to the mining cost. So the price is up dramatically and just according to the price of iron ore in the international market. So, as long as these miners are able to supply this ore to us at those prices we don’t intend to reduce it. So, it’s a class of the capacity to sell their ore at lower price. So I think I don’t have this answer for you. But we intend to continue to buy as long as they are able to sell to us, even at lower price.
Murilo Ferreira: And regarding the new mining law, I think that we have just November to be approved under the committee. Otherwise we must wait for the next year with the new Congressman acting in order to approval in the committee. But later on must have, upper house in the lower house. I consider that the needed almost in the range of four to six months to complete the whole process in face of reaching the consensus in both parts. Thank you very much for your question. And I really appreciate most of the comments. And I’d like to spend more time regarding, I know that you have some doubts about our sales, volume of sales. To us, some think that we pursue based on the best interest of the company not regarding any problem to sell our material. And we hope to see a big number in the last quarter of this year. Thank you very much. All the best.
Operator: This concludes Vale’s audio conference for today. Thank you very much for your participation. You may now disconnect.